Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter and Full Year Bioanalytical Systems Earnings Conference Call. My name is Derek and I will be your operator for today. At this time, all participants are in a listen-only mode. We shall facilitate a question-and-answer session at the end of the conference. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Ms. Jacqueline Lemke, President and CEO of BASi. Please proceed.
Jacqueline M. Lemke: Thank you, operator. It sounds like we have a little static on the line, so if anybody interrupts and there is too much static we will see what we can do. Good morning and thank you all for joining us for BASi's 2014 fourth quarter and full year financial results conference call and webcast. Over the past few years the BASi team has focussed on targeted initiatives that were designed to stabilize our business, improve our liquidity, and lower our breakeven point. While we remain dedicated to increasing our productivity and internal processes with the intent to continue to grow free cash flow, we are actively pursuing strategies to drive the top line growth. This past year we are proud to report fiscal 2014 revenue increased 11.4% compared to fiscal year 2013. Net income for the year before the change in fair value of the warrant liability and the impairment charge increased 29% compared to last year. Our goal is to consistently deliver profitable growth over the long-term and BASi continues to move in the right direction. EBITDA for this year was a solid 9.8% of revenue, not as high as the 12.6% of revenue reported for 2013 but reflective of targeted investments in selling, research and development, and growth initiatives which will improve our ability to deliver profitable growth. Also cash flow from operations for fiscal year 2014 remained strong and improved over the prior year with an annual total of $1,684,000 versus $1,594,000 for the same period of fiscal 2013, an increase of 5.6%. That completes my introductory comments. I will now turn the call over to Jeff Potrzebowski, Vice President of Finance and CFO who will provide more details on our performance for the quarter and full year. Jeff.
Jeff Potrzebowski: Thanks Jackie and good morning to everyone and thank you for joining us on today's fourth quarter and full year conference call. Before we begin the discussions I would like to remind you that the statements we make during today's call about future expectations, our plans, and prospects for the company they constitute forward-looking statements for the purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements and as a result of various important factors including those discussed in the company’s filings with the Securities and Exchange Commission. The statements made on this call are made only as of the date of this call and the company assumes no obligation to update these statements. In addition, we'll discuss certain non-GAAP financial measures on this call which should be considered a supplement to and not a substitute for the financial measures prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of these non-GAAP measures to the comparable GAAP measure is included in the press release and conference call presentation. Now, to the results. Our financial results revenues for the fourth quarter were $6,420,000 up 16.6% compared to the fourth quarter one year ago. Improved market conditions for our preclinical services unit were the primary driver. Sequentially revenues for BASi were up 6.4% versus the third quarter of this year with gains in both of our business segments. In fiscal year 2014 revenues were $24.6 million, an increase of 11.4% over the comparable period last year. Significant revenue gains reported by our preclinical services business resulting in part from an increase in the number of primate studies and an increase in the number of post-IND chronic studies. The net loss for the three months ended September 30, 2014 amounted to $404,000 or $0.05 per diluted share. This compares to net income for the fourth quarter one year ago of $252,000 or $0.03 per diluted share. Excluding the effect of the non-cash movement in the fair value of the warrant liability in both periods and the impairment charge in the fourth quarter of this year, the net loss for the fourth quarter of 2014 was $207,000 or $0.02 per diluted share compared to a net loss of $56,000 or $0.01 a share -- per diluted share in 2013. The benefit of higher sales in the current quarter was more than offset by increased business development and engineering cost and other one off charges in the quarter compared to one year ago. For the full year BASi reported a net loss of 1,070,000 or $0.13 per diluted share compared to a reported net income of $773,000 or $0.09 per diluted share for the same period one year ago. Excluding the effects of the non-cash movement in the fair value of the warrant liability in both periods and the non-cash impairment charge recorded in 2014, net income in the current fiscal year amounted to $222,000 or $0.03 per diluted share compared to net income of $172,000 or $0.02 per diluted share in 2013. Let’s turn to the segment breakdown of our performance. Service revenue for this year’s fourth quarter increased 23.1% to $4,901,000 compared to $3,980,000 for the same period last year. This increase reflects gains in preclinical services. Revenue from our Bioanalytical and other lab services were comparable to the fourth quarter of last year. Full year fiscal 2000 service revenue amounted to $19,097,000 versus $16,473,000 last year representing a 15.9% increase in revenue compared to the same period one year ago. This increase reflects the improved conditions in our preclinical services business which I mentioned earlier. Product revenue for the fourth quarter of fiscal 2014 amounted to $1,519,000 compared to $1,528,000 for the fourth quarter in fiscal 2013. On a full year basis product revenue in 2014 amounted to $5,487,000, a 2% decline compared to the same period one year ago. Higher sales of our Culex Automated In Vivo Sampling Systems in the current quarter and full year were offset by lower demand in our analytical instruments product line compared to the respected periods in fiscal 2013. Gross profit for the fourth quarter amounted to $1,821,000 or 28.4% of revenue, down 4.6% compared to $1,909,000 or 34.7% of revenue one year ago. The decline in gross margin percent reflects a change in the services revenue mix between quarters as well as a change in revenue mix between products and services. Year-to-date gross profit increased 12.9% to $7,962,000 or 32.4% of revenue compared to $7,055,000, or 31.7% of revenue for the same period last year. As higher sales combined with increased capacity utilization allowed for more profitability and margin expansion while leveraging our fixed cost base. The operating loss in the fourth quarter amounted to $489,000 which includes the non-cash impairment charge of $374,000 recorded this period. Excluding the impairment charge, the operating loss amounted to $115,000 compared to an operating income level of $98,000 for the same period one year ago. EBITDA for the fourth quarter of fiscal 2014 amounted to $309,000 compared to EBITDA for the fourth quarter of fiscal 2013 of $547,000. The primary drivers to the decline in both operating income and EBITDA for the fourth quarter compared to the same period last year, were the result of the relative mix of larger, more expensive studies and planned increases in spending for R&D and business development activity. For fiscal 2014, operating income for the full year amounted to $334,000 which includes the impairment charge of $374,000 recorded in the fourth quarter. Excluding the impairment charge, operating income in fiscal 2014 amounted to $708,000 compared to $830,000 a year earlier. EBITDA for fiscal 2014 was $2,398,000 down 13.9% compared to EBITDA from fiscal year 2013 of $2,785,000. The benefit of higher revenue year-over-year was more than offset by the less favourable mix and targeted investments in selling, research and development and other growth initiatives and certain other one off charges compared to one year ago. Turning to the balance sheet, you will note the impact of the new term loan facility comparing our position at year end to our position at the end of last year. As we discussed in the third quarter call, we entered into a credit agreement with Huntington National Bank on May 14, 2014. The agreement includes both the term loan and a revolving loan secured by mortgages on our facilities and personal property in West Lafayette, Indiana and Evansville. The term loan matures in May of 2019. Prior to obtaining the new credit facility, as you recall we had a term loan in place from Regions Bank which was secured by mortgages on our facilities in West Lafayette and Evansville. And in addition prior to its termination in January of this year, we also had in place a $3 million line of credit with EGC. We used the proceeds from the term loan, $5.5 million to pay off the Regions Bank replacement note. The balance of the term loan with Huntington at September 30, 2014 was $5,238,000. The revolving loan for $2 million matures in May of 2016. The balance on the revolving loan at September 30, 2014 was $202,000. Our improved liquidity position not only will help to lower our borrowing cost going forward, it enhances the company's ability to implement a reinvestment in our growth initiatives. With regard to cash flows for the year, the company generated cash from operations amounting to $1,684,000 for fiscal 2014. This is up 5.6% from fiscal 2013. The company had $981,000 in cash and cash equivalents at September 30, 2014. During 2014, the company utilized proceeds from the borrowings net of repayments as well as cash on hand and cash provided by operations and funded capital expenditures for plant and analytical equipment of approximately $490,000. In closing let me provide a brief comment relating to the impairment charge recorded this quarter. The company performed its annual goodwill impairment test for all its reporting units as of September 30, 2014. The estimated fair value of our Vetronics reporting unit and as you may recall and if you don’t I’ll give a brief explanation of Vetronics products group consist of instruments and related software to monitor and diagnose cardiac function and measure other vital physiological parameters primarily in cats and dogs in veterinary clinics. It’s a very small part of our product segment. However, the estimated fair value was less than its related book value leading to a determination that its goodwill balance was impaired. The impairment results from rates of growth, earnings, and cash flow expectations for future performance for this unit that were below our previous projections. In late fiscal 2014, the company began shifting its market focus and will no longer actively market the Vetronics product offering. As a surplus to our existing customers, we will continue to service the units in the field. Accordingly step 2 of the goodwill impairment test was completed for the Vetronics reporting unit which resulted in the impairment charge totalling $374,000 which does represent the entire goodwill and this was recorded in the fourth quarter of fiscal 2014. There was no indication of impairment for the Bioanalytical services or preclinical services reporting units as of September 30, 2014. That completes my summary comments. I’ll turn the call back over to Jackie for her comments before we open up the call for questions.
Jacqueline M. Lemke: Thanks Jeff. In my opening comments at the top of the call I emphasize that we are building this company to deliver profitable growth over the long-term. Our financial performance for fiscal 2014 clearly demonstrates our continued focus on three key areas, driving top line growth, operating efficiency, and generating free cash flow. We will continue to take decisive actions and make targeted investments to improve our financial performance and grow our business. We are expanding on marketing efforts by building on BASi’s inherent strength in specialty assay and drug discovery, regulatory excellence, and our Culex Automated Sampling System. Combined with our unrelenting effort to accelerate best practices and drive continuous operating improvement, this is positioning BASi for higher profitable growth in the future. Since we last spoke, we have taken additional steps to strengthen our management team in a role that will be vital to help drive our top line performance. On September 16, we announce the appointment of Connie Dougherty as our Vice President of Business Development reporting to me. Connie will provide the leadership necessary to drive BASi’s growth initiatives and our efforts to expand the company’s footprint. Connie comes to BASi with over 25 years of experience in all aspects of sales and market development. She excels at relationship building and partnering with customers. We recognize that our growth in customer satisfaction depend upon our ability to continually improve and create new client relationships. The appointment of Connie and the other actions I’ve taken throughout fiscal year 2014 to strengthen my leadership team represent important steps forward in BASi's continuing program to build a management team with the depth, experience and dedication to take BASi to the next level and achieve its goals for growth and profitability. Just as described our new credit facility, the bottom line is that with substantially more favourable terms in the long-term debt and line of credit it replaces, this new credit facility lowers BASi's borrowing cost and enhances the company’s ability to implement its growth plan. As we look forward to 2015, we plan to continue to drive our top line growth even as we manage our cost and investments closely. We plan to focus on sales execution, innovation, and operational excellence by building strategic partnerships at pharmaceuticals and Biotechnology company to create value for our clients and our shareholders. We are confident in our ability to follow through on the initiatives that support our strategy, to strengthen BASi for fiscal 2015 and beyond. Operator we are ready for the first question.
Operator: [Operator Instructions]. We do have a question coming from the line of Lenny Dunn, please proceed.
Lenny Dunn: Good morning. First a bookkeeping thing, you may have restricted the number of people you have on the call because of the number you have put in your press release today was not a good one and just keeps ringing on. So I look back to the one put out on the 12th and that worked and that’s why I am on the call but I don’t know if everybody did that?
Jacqueline M. Lemke: Okay, thanks for that, sorry we didn’t know that.
Lenny Dunn: I understand that. I am just sure it wasn’t intentional. I don’t know what number that, it just keeps ringing through but anyhow you’re saying all the right things with top line growth because clearly that’s what we need and well your fixed costs are met so then you’ve done a very good job of restructuring the balance sheet and the obligations and getting proper financing. So we could really see some bottom line growth consistently going forward with top line growth and are you getting some positive results by now. Obviously we’re well into the first quarter, it's almost completed. So my first question is are we getting some positive results from these efforts so that going forward we will see the growth that we all wanted?
Jacqueline M. Lemke: Yes, we are. We are seeing quite a bit of growth on the preclinical side and that continues to be coming in pretty strong. We are also starting to pick up some code activity. It is not just core tissue, the courts accept it on the bio-inform side that work will drop probably in the next six months or so. That won’t be as immediate as the preclinical side. And on the product side we are starting to see some of our efforts on the Culex education of the market payoff, we could see the pickup in the next three to six months on the product side. So we are seeing some trends that it’s hard to report it quarter by quarter but I am confident that the year is going to be a good one.
Lenny Dunn: Okay, well it is good to hear you say that and clearly we want to improve the gross margins which are shrinking a little but then you have a couple of higher salaries on and you have one redundant salary which expires December 31st, so that should help some too.
Jacqueline M. Lemke: Well yes, we had to accrue for that in the fourth quarter so we’ve taken that expense in fiscal year.
Lenny Dunn: It’s already been expensed so now it will show up in -– well that’s good and it looks like you did some house cleaning too with the onetime write-off but this should be the end of the write-offs now, so we should see things clean going forward?
Jeff Potrzebowski: That’s correct.
Lenny Dunn: Okay, that is very important because it becomes more difficult to analyze the company of when you have these write-offs and at the end of them does great. And it’s also good to hear you say that you are finally getting some results from the sales efforts because I know you spent a lot of money on that. And that’s good too. Now as far as the equipment sale which is obviously much higher margined you are saying you are getting better results from that, do you expect that to be a continuing situation?
Jacqueline M. Lemke: I do. We are working on it, we are making every effort for it to be continuing.
Lenny Dunn: Okay and so now at this point you can present a clear picture to Wall Street. It is my understanding you are going to a conference in January, so you will get some exposure there but are there other things that you are doing now that you can present this clear picture to get some exposure so that we can see a little pickup in the trading volume?
Jacqueline M. Lemke: I only have plans for two shows, two Wall Street type of presentations this year. We are going to spend more time on educating and appealing to our potential clients and customers. I think we still need to get a solid record behind us of growing the business. So I think the going out to Wall Street Investor Run will probably happen next fiscal year, not this one.
Lenny Dunn: Okay, I understand that you want some exposure though in the interim but your primary focus has to be on growing the business because I think we are not selling the stock, we’re growing the business?
Jacqueline M. Lemke: Right.
Lenny Dunn: Okay and it’s my understanding that the even though it’s all been written off, that the obligations in England expire in the middle of next year is that correct?
Jacqueline M. Lemke: Yes.
Lenny Dunn: And the -- it is also my understanding that we should be able to finally lease some of the space shortly in the building which would increase cash flow. Now obviously that is not a business so, primary business but at the same time it will enhance cash flow. Do you still feel you are fairly close to getting this space leased?
Jacqueline M. Lemke: Yeah, I am working on that as an option and as soon as I know more, if I get something definitive I will be announcing it.
Lenny Dunn: It is not that you can't preannounce the preliminary discussion but I just wanted to --
Jacqueline M. Lemke: Right.
Lenny Dunn: Okay, so I think that answers my questions and I feel you have done a heroic job of turning the company around but we do need some top line growth and sounds like we are finally going to get it. Thank you.
Jacqueline M. Lemke: Okay, thanks Lenny.
Operator: At this time I am showing no further questions in queue. I would like to turn it back to management for any closing remarks.
Jacqueline M. Lemke: Okay, thank you everyone for calling in. I know we had to change the date again, I am sorry about that. I hope everybody has a nice holiday and this concludes today's conference call. And you may now disconnect.
Operator: Ladies and gentlemen this concludes today's conference. We thank you for your participation. You may now disconnect. Have a great holiday.